Sal DiMartino: Good morning, everyone. This is Sal DiMartino. Thank you for joining the management team of New York Community for today's conference call. We apologize for the long wait time for the call, but we were having technical issues with our vendor. Today's discussion of the company's 2022 results will be led by President and CEO, Thomas Cangemi, along with the company's Chief Financial Officer, John Pinto; and Lee Smith, President of Mortgage. Before the discussion begins, I'd like to remind you that certain comments made today by the management team of New York Community may include forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements we may make are subject to the safe harbor rules. Please review the forward-looking disclaimer and safe harbor language in today's press release and investor presentation for more information about risks and uncertainties which may affect us. Now I would like to turn the call over to Mr. Cangemi.
Thomas Cangemi: Thank you, Sal. Good morning, everyone, and thank you for joining us today. This morning, we're going to focus on four topics: the Flagstar acquisition, the decision to restructure the mortgage business and our operating performance, along with our outlook for the new Flagstar. 2022 was a watershed year for New York Community, culminating in our acquisition of Flagstar, our largest acquisition to-date, which closed on December 1. As you have heard me say many times on these calls and in one-on-one meeting, this is a transformational acquisition for us, and we've already seen some of the benefits you've outlined when the transaction was first announced. The transaction into a dynamic commercial banking model is underway, with a more diversified balance sheet, which was evident at year-end, as commercial loans represented 33% of total loans compared to 24% before the merger announcement. Legacy Flagstar brings a number of new lending-related businesses to the new company, both of which are C&I businesses. All of these are higher-margin businesses, and they are typically tied to floating interest rates. These new businesses include a nationally recognized mortgage warehouse business, where we currently rank number two in the country based on $11.5 billion of commitments outstanding. Building Finance is another great business, where we do business with 70% of the top 100 builders nationwide. These spreads in this marketplace is approaching 400 basis points in that particular business. In addition, Flagstar has a significant wholesale banking operation focusing on several verticals. These loans are conservatively underwritten and also generate significant fee income that legacy NYCB did not have. Going forward, we plan to allocate more capital to these higher-margin businesses. The same is also true on the funding side. Legacy Flagstar contributes a significantly lower cost deposit base, including traditional retail deposits and a large amount of commercial balances related to mortgage businesses, including escrow balances. Additionally, both companies have a very strong market share position within each of the respective core markets, which will aid in acquiring more deposits as we grow. The benefits of Flagstar's deposit base are already evident in the fourth quarter results, as non-interest-bearing deposits increased to 21% of total deposits, compared to 9% prior to the merger announcement. Another important benefit is to our interest rate sensitivity. Our sensitivity to interest rate changes has improved materially due to the acquisition. As you will recall, legacy New York Community has historically been liability-sensitive, while legacy Flagstar was significantly asset-sensitive. On a combined basis, the new company will have a more balanced interest rate sensitivity position, and we will have more flexibility in managing our sensitivity to market rate changes. Given the nature of our new asset classes, paired with lower cost funding mix, the new company will be able to enjoy a stronger margin going forward. As for our mortgage business, we disclosed earlier today actions aim to optimize our mortgage platform. The substantial and aggressive shift in Fed monetary policy over the past year resulted in significantly higher mortgage rates. This rapid increase has cycled refinancing activity and also dampened purchase activity. While legacy Flagstar was proactive throughout 2022 in rightsizing its mortgage business, the mortgage market is expected to remain challenged in 2023, with annual originations volume expected to decline by 25% year-over-year to $1.8 trillion after dropping 46% last year compared to 2021. Therefore, shortly after the transaction closed, we made the strategic decision to swiftly restructure the business, which occurred late last week. To better reflect demand and a line where our strength lies, our distributed retail channel will shift to a branch footprint only model resulting in a 69% reduction in the number of retail home lending offices. Mortgage origination headcount is expected to decline to less than 800 FTEs compared to a high of 2,100 FTEs in 2021. Headcount reduction represents approximately 10% of total employees at the defined company's pre-restructuring. These decisions are among the most difficult our senior leadership team has to make However, they are necessary to ensure the long-term success and viability of our mortgage business. These actions are expected to improve profitability in the mortgage business during the current down-cycle, while still allowing us to participate in the upside in the event the interest rate environment becomes more favorable. Despite these actions, we remain one of the top players in the mortgage business. We are a leading bank originator for the mortgages, the sixth largest sub-servicer and the second largest warehouse lender. In addition, we continue to lend in all six channels and remain committed to the correspondent broker business. Turning now to our 2022 operating performance. Despite the significant shift in Fed policy last year, 2022 was still another record year for the company. On a non-GAAP basis, we reported fully diluted EPS of $1.23 for full year 2022, relatively unchanged compared to the $1.24 we reported for 2021. Net income available to common stockholders, as adjusted, totaled $603 million for full year 2022 compared to $585 million in 2021. Our net income in 2021 was a record at that time, and in 2022, we broke that record. While our financials were impacted by one month of combined results, legacy New York Community performed extremely well with strong organic growth in loans and deposits. Multi-family loans increased $3.5 billion or 10% to $38.1 billion compared to 2021, with virtually all of the growth coming organically. Specialty finance loans rose $912 million or 26% during the year to $4.4 billion. At the same time, organic deposit growth was $7.6 billion, up 22%. This includes about $3 billion in growth during the fourth quarter related to our government banking as a service business. Our fourth quarter net interest margin improved six basis points to 2.28% compared to the prior quarter. Excluding the impact from prepayment income, the fourth quarter margin was 2.24%, up nine basis points compared to the previous quarter, which is better than our original guidance. Our credit quality remains -- metric remain solid, and reflect the strong credit culture of both legacy organizations. NPAs to total assets equaled 17 basis points, while NPLs on total loans were 20 basis points, continuing to rank us among the best in the industry. These metrics are proof positive that our conservative underwriting standards have served us well over various business cycles. This one is a high-quality balance sheet should serve us well in the event of a downturn in the economy. As for real estate trends in our primary New York City market, the residential rental market remains healthy, despite some moderation in the effective median rent due to weaker performance in the luxury market, while our bread and butter non-luxury rent regulation niche remains very strong. Manhattan monthly median rents in November rose nearly 20% year-over-year to 4,033, up month-over-month following three straight months of decline and up -- and was up 15.2% above the pre-pandemic levels. On the office front, Manhattan direct asking rents in the fourth quarter decreased 0.6% from the third quarter to $74.29 per square foot, while the office availability rate was up 18.7% or 30 basis points. Manhattan retail average asking rents recorded a 2.2% uptick quarter-over-quarter to $607 per square foot, the first increase since the fourth quarter of 2016 due to a resurgence in travel and tourism and consumer demand. Also, as of year-end, our capital ratios remain very strong. Accordingly, last week, our Board of Directors declared a quarterly cash dividend of $0.17 per share on the company's common stock. The dividend is payable on February 16 to common shareholders record of February 6, based on last night's closing prices reflects a dividend yield of approximately 7%. Looking forward to 2023. This is what you can expect from the new company throughout the year and into 2024. First, we're going to have one brand across the combined organization. The divisional bank concept has worked well for legacy NYCB, but we're mostly in the New York City metro region. Now that we are one of the largest regional banks in the country with 395 branches in nine states, along with a national presence in several businesses, we are confident that a unified brand will position us to thrive. We will have one bank, one brand, one culture. A new brand will be Flagstar. While the Flagstar name will remain, the associated brand, look feel, logo, purpose and what the name stance will change. We plan to officially roll out the new logo and brand publicly in late 2023, but it will not be fully operational and use externally until systems conversion, which is scheduled to occur during the first quarter of 2024. As for guidance, given the current outlook, we expect average loan growth of 5%, first quarter NIM to expand from fourth quarter levels to a range of 2.55 to 2.65, including prepayments, which are expected to have less of an impact on the NIM going forward. First quarter gain on sale of mortgage loans of $18 million to $22 million; full year non-interest expense range of $1.3 billion to $1.4 billion, excluding merger-related expenses and intangible asset amortization; and a full year tax rate of approximately 25.5%. Finally, I would like to send a big shout out to all of our employees at both banks, none of what we have accomplished so far would have been possible without their patience, support and hard work. Their commitment to our customers and borrowers over the past several years has truly been remarkable. My sincere thanks for them all. With that, we would be happy to answer any questions you may have. We will do our very best to get to all of you within the time remaining. But if we don't, please feel free to call us later today. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question has come from the line of Ebrahim Poonawala with Bank of America. Please proceed with your question.
Thomas Cangemi: Good morning, Ebrahim.
Ebrahim Poonawala: Hi. Good morning. Congrats on closing the deal. I guess, maybe the first question, if I heard you correctly, Tom, I think you mentioned systems conversion not until first quarter of 2024, sounds a bit longer than usual. Just wondering if there are any reasons why it's going to take that long to move, do the systems conversion? And secondly, just remind us in terms of the cost savings from the franchise and where you think the expense base resets once you have all the expense savings tied to the deal, maybe as we think about post conversion, what it looks like?
Thomas Cangemi: All right. Let's start with the latter question for us. And by the way, we apologize for the wrong delay this morning. That was unfortunate, but we do apologize for that. I should have talked about the overall expense run rate going forward. We gave out guidance level, $1.3 billion to $1.4 billion for 2023. Bear in mind, we continue to put these companies together through synergies. When we first announced the transaction, we estimated about $125 million of merger related cost benefits, exclusive of the mortgage business, specifically. So we called that out when we looked at the combined operation. So we're assuming that. Obviously, we're restructuring mortgage going into 2023. That is taking place as we speak. So in addition to that, we also have the ongoing continuation of synergies throughout 2023, and also a substantial benefit, most likely in the first quarter of 2024, going back to the actual system conversion, which we have planned. This is a full-blown conversion of all systems. So this is going to be a substantial undertaking for the bank. We feel very confident that's the right appropriate time frame, but it's going to be our largest conversion. And a lot of, I'll call it, upgrade systems that we're getting on a combined basis will be part of that conversion. So we're taking this process, obviously, very seriously. We want to make sure that we have the appropriate time to integrate. So clearly, first quarter of 2024 is where we're targeting. I would not expect that to become any earlier than that, so first quarter of 2024 is the date. But a lot of work has been done as far as choices on systems; a substantial amount of decision making has gone into what's best for the customer. And we're changing a lot on the NYCB side to upgrade ourselves to be more in the regional bank space into other technology system that we don't currently have. So it goes all into that upgrade. So we're super excited about the opportunity, but it's going to take a little bit of time. And at the same time, I mentioned in my prepared remarks, we're also going to be rebranding into the first quarter as well. So going back to the cost structure, I feel highly confident that that range is very reasonable. But we feel that, historically, the company has been an integrated institutions. We have a great road map here. We spent a lot of time getting to know each other. At the same time, we're building an institution that's going to be very diverse. And in our run rate has some build-out of additional, we'll call, cost centers that are going to drive revenue opportunities on a combined basis. And I think that range is a reasonable range given that we are restructuring mortgage on a combined basis. So I think the range that we gave you, $1.3 billion to $1.4 billion. Hopefully, we'll come in towards the front-end of the range, but we feel pretty confident about that.
Ebrahim Poonawala: I guess, given all the investments you're making, and I think it all makes sense, is it fair to assume like that's a steady state? Like you might get some savings towards the systems conversion next year, but then you're also investing in the franchise?
Thomas Cangemi: That's a fair statement, Ebrahim. We didn't give out 2024 guidance, but you do have that -- a lot of the system conversion will result in significant overlap on technology, as well as the benefits of the cost. Maybe John, if you want to add some more color to that.
John Pinto: Yeah, I think that's right. You'll see some of those that $125 million in savings, come through over the next couple of months as part of the process we're going through. And then there'll be more, as Tom just mentioned, that will come once the systems conversion is done in Q1 of 2024. So I think Ebrahim, you're right, that makes a lot of sense as to where we can kind of see a steady state going forward, at least in 2023 and 2024.
Thomas Cangemi: So, Ebrahim, just to go back to the concept of the conversion. This is really a transformational transaction for the bank. We said that all along. We're moving towards a commercial banking model. And with that commercial banking model, there are a lot of technology tools that we are going to implement as part of the combined NewCo. That's what's pushing out the diversion maybe a quarter or two, and that's why we feel very confident that the date makes sense for us. This is not the historical NYCB thrift model; we are going to a commercial banking model with unique technology tools that are consistent with regional banks of our size.
Ebrahim Poonawala: Understood. That's helpful. And just on a separate question. You gave the first quarter NIM guide. How do we think about the net interest margin on the two scenarios in a world where rates just stay higher for longer, how do you think the NIM plays out? And then, if rates get cut, do you still expect the balance sheet to be liability sensitive and benefit from -- the NIM benefiting from rate cuts? Thanks.
Thomas Cangemi: Yes. I'll start the conversation, I'm going to defer to John. But big picture, we're assuming that we're going to have probably two more hikes coming in the short term and probably a pause and probably -- looking at the forward curve, an adjustment towards November is for the first cut. That's really much playing through the forward curve. But the reality is that, where we stand today on positioning, we're probably maybe 4%, 5%-ish liability census going into this most likely par situation in Q1. We have the capacity to move plus or minus 5% very easily. So, right now, just by putting the balance sheet together, without any restructuring, without any sales of assets, we're sitting here just probably slightly liability sensitive and we have the ability to pivot very quickly. So maybe, John, if you want to add some more color towards the sensitivity on the market rates.
John Pinto: Yes. And just to highlight what Tom said, now that we're not as significantly liability-sensitive as NYCB has been historically, it just gives us the opportunity to be able to manage towards a neutral-asset base depending on market conditions. So, slightly liability sensitive now. We are forecasting the two rate hikes in February and March, which is really what's impacting the margin in 2023. That cut at the end of the year really doesn't have much of an impact in the 2023 guide.
Ebrahim Poonawala: And Tom, you mentioned the restructuring of the balance sheet, like, should we be expecting any meaningful restructuring once there's clarity on the path of Fed interest rates?
Thomas Cangemi: Look, I think the reality is that, we put the company together at year-end. We have an opportunity to look at some of the assets that, in particular, mortgage rate that we can structure into a opportunity for liquidity. And liquidity is expensive right now. So if we go into cash or short-term securities, we're not going at zero anymore, it's around -- approaching close to 5%, assuming two more rate increases. So we have flexibility here. We believe that eventually, when the securitization markets open, we have lots of liquidity we can pull through, given the assets that were acquired through the Flagstar transaction, some of those resi portfolios and other asset classes. But the reality is it goes back to the opportunity to really deploy capital into higher-margin businesses. We're being very cautious in respect to pricing. We have a very interesting opportunity in front of us regarding yields. And if you think about our multi-family business, they're averaging in the 3s and the market is closer to 6 right now. We're not seeing a lot of refinance active. We're not seeing a lot of purchase activity, but we are seeing is that we still have about $8 billion over the next few years, repricing, mandatory repricing. And they have to make a decision, and that market is a much higher rate environment. Assuming the Fed holds this for longer, I think our customers will have to just go into a different option, which will be a higher interest rate to do nothing. So we'll manage through that very carefully. We're seeing about half of those loans go right into our new product, which is a sulfur product, which is a floating rate product, which is great for interest rate risk, but we're endorsing that as a company. But we feel very confident that we can move the portfolio to a higher-yielding asset class. At the same time, be very focused on the best yielding opportunities in the marketplace because we have diversification. This bank now has a very well-diverse vertical opportunity. And we're going to make sure that we maximize our capital spend to ensure better margins going forward. Starting the year off at a much stronger margin with the opportunity to redeploy capital into higher margin businesses is an attractive position to be in.
Ebrahim Poonawala: Got it. Thanks for taking my questions.
Operator: Thank you. Our next questions come from the line of Mark Fitzgibbon with Piper Sandler. Please proceed with your question.
Thomas Cangemi: Good morning Mark.
Mark Fitzgibbon: Hey guys, good morning and congrats. Tommy, I wonder if you could help us think about total fee income in, say, the first quarter. I know it's volatile given mortgage bumpiness, but help us think about the combined company's fee income capabilities?
Thomas Cangemi: So look, we have a lot of moving parts here that's new to the company, in particular the capital markets activity. I think that that's going to be -- again, it's not modeled in, it's not anticipated as part of the synergies of the merger, benefits of the merger. But we think that now that we have a capital markets division that's going to look at options for our customer base to put on derivative synthetic positions to hedge their loan products. I think that's going to be a great benefit to the bank. In addition to that, we could also be creative for our multifamily customers as well to offer those similar products. And we're not going to put on long duration of paper without any synthetic position, which drives into fee income. At the same time, I want to refer to Lee Smith, because he's obviously running the mortgage business, and that's always going to be a very interesting opportunity if the mortgage business does start to pick up. But reality is that we're starting at probably low points. So we're hoping it doesn't get much worse than this, but we're starting at the low. So maybe Lee Smith could add some color on fee income between sourcing and mortgage production. Lee?
Lee Smith: Yeah. Thanks, Tom. And we provided this in the guidance. So we're guiding for Q1 gain on loan sale to be between $18 million and $22 million. And then the net return on the MSR asset is -- we're guiding 8% to 10%. I think we'll be at the top end of that range. So if you combine those two numbers, we're in the $45 million, $50 million range from a fee income point of view on the mortgage origination side. And then we've obviously got loan admin income on the servicing side, given our significant sub-servicing business. Now from a GAAP accounting point of view, the reason offset as it relates to the interest we pay on escrows, which should really be up in the net interest income line, and so we're going to get a benefit from that. Even though you don't quite see from a GAAP point of view, when we break out the servicing P&L, you do see that fee income given the significant sub-servicing business we have.
Thomas Cangemi: Yeah. So with that being said, just to add on to Lee's commentary, assuming there is a Fed pause and it good moves the other way, say, towards the end of this year, that will also generate higher fee income because. Now the cost of that liability becomes much lower as we manage that servicing portfolio.
Mark Fitzgibbon: Okay, great. And then, Tommy, could you share with us the timing and cost associated with rebranding?
Thomas Cangemi: So we're not going to throw a cost number out there, it's ongoing. We feel very comfortable that we've done a ton of work over the past two years now on really setting the NewCo, which is going to be the new Flagstar. A lot of spend has been already taken place. As far as the branding efforts for the future, more towards 2024 than 2023, I'd say where the dollar outlay will come in. But where we stand right now money has been spent on setting up the brand itself, our vision, our mission, obviously, our position in the marketplace. And obviously, there'll be new signage to all of the 395 locations. It's all going to be, as we said, one cohesive brand, one culture, one name, and that will start towards the back end of 2023 and with maybe some marketing dollars going into 2024 run rate.
Mark Fitzgibbon: And last question I had for you was on the loan-to-deposit ratio. Is there a level at which you'd sort of cap that wouldn't exceed? Thank you.
Thomas Cangemi: So Mark, I would say, big picture is that, our passion, as you can see over the past few years, we've done a significant shift in how we're funding the balance sheet, right? There's been a lot more deposit growth. We're looking at alternative solutions to fund our business. That's going to be part of our DNA going forward. We are focusing on funding this balance sheet very differently than it was historically. We want to get away from our dependency on non-traditional funding. We believe that various mortgage-as-a-service businesses, the government-as-a-service business are focused at and really trying to take the embedded nature of mortgage and go after the clientele as a $90 billion organization, could put us in a very unique position to gather more deposits. We were very successful a few years back when we started the mandatory initiative of, if we're going to lend you money, we need to have a deposit relationship. That's going to be the culture going forward. So our passion here is to be less funded wholesale, be funded more traditional in nature and we're doing -- and we're doing -- and we’re looking at all avenues to bring in a mix of funding that, light is better, so we can have a much better cost of fund and better stability on our funding mix. If you think about the magnitude of our wholesale book of liabilities, if you replace that with, we'll call it, true core deposits, it's a game changer for multiple. So the goal here is to be less dependent on mortgage, less dependent on wholesale and focus on multiple expansion over time. And that's our passion. That's our business model every day. It's within our DNA. It's not going to happen overnight. And I said that when I took over as CEO, this is culturally where we're going, and we're making that long-term vision of trying to change the dynamic of the traditional thrift model towards a commercial banking model.
Mark Fitzgibbon: Thank you.
Operator: Thank you. Our next question has come from the line of Dave Rochester with Compass Point. Please proceed with your question.
Thomas Cangemi: Good morning.
Dave Rochester: Hey, good morning, guys and congrats on the deal. 
Thomas Cangemi: Been a long time, David, but we're very pleased to be here.
Dave Rochester: Yes. Yes, absolutely. Glad to see it. Just on the potable advances you guys have, is it fair to say that the margin result this quarter and the guide for next quarter includes the repricing of all the like $1 billion or so of those advances that you had at this point? So you're not really expecting a cliff repricing of that in 2Q or beyond?
John Pinto: Yes. If you look at -- I mean, we do have a lot of borrowings coming due in 2023. So when you look at that amount, we have probably just under $7 billion coming due in 2020 in the first quarter of 2023. And that -- 
Thomas Cangemi: In the guide. Yes.
John Pinto: Yes. And that's in the guide -- that's in the guidance. The cost of that is in the $330 million range, $340 million range. So there'll be a bit of a lift there, but nothing significant. There are potable on the books, as you mentioned, but they're spread out on what their lockout dates are. So we don't expect to have that, the cliff issue that we had in the third and the fourth quarter of 2022.
Dave Rochester: Yes.
Thomas Cangemi: Dave, I would just say, to John's point, we want to have some flexibility to go into 2023, depending on our balance sheet renewability, depending where rates start to normalize here and we have an opportunity to really look at the assets that we've acquired and see what assets we’re going to hold. There has been no restructuring as of year-end. We priced -- we looked at the marketplace. We believe when the marketplace becomes more opportunistic for us to think about, maybe reshipping our proceeds into maybe a debt reduction or a debt restructure, that's always on the table, we'll look at what makes sense in the marketplace. But clearly, having the optionality is going to be important, especially, with most likely a pause coming. And perhaps at the back end of the curve continues to be steep like this, we may have some opportunity to take on some cheaper funding, at the same time keep some money relatively short to pay down some debt, because obviously, the short-term money is very expensive right now. So we have that optionality on the table.
Dave Rochester: Yeah. Well, to your point on reducing the debt. Just on the deposit side, you guys have obviously been working on a number of deposit initiatives that you talked about earlier and in prior calls. But I was just wondering if you can size the new opportunities that you now have post the deal close? I know you talked about the warehouse customer deposits that you could go after previously once you close the deal, if you could just size that, how big that opportunity is at this point and then hit on any other areas that you could point to?
Thomas Cangemi: I always said when we announced the transaction; I envisioned the embedded nature of just mortgage alone is a $10 billion opportunity. I felt highly confident that with Lee Smith's business regarding, the escrow business, the loans that we service for others, as well as the warehouse business, it's a tremendous opportunity in respect to the type of credit facility that we offer some of our clients given our size now. Our balance sheet at $90 billion, managing this business as being number two in warehouse in the country, gives us a good shot at really bringing in real funding opportunities for the bank. That being said, we still have a very interesting opportunity to take the technology that NYCB commonly have that's going to improve when we combine with Flagstar to make further improvements to start banking the mortgage business. I think the mortgage business, given the magnitude of our positioning, could have a lot more deposits attached to it. Maybe, Lee, if you want to add some color to the opportunity here on the mortgage side. But this is really what we saw from day one that we could easily build that up. In addition to the other lines of areas that we're building up, which includes government as a service, doing some technology deposit opportunities, as well as going after the legacy NYCB customers to ensure that we make loans with deposits. So maybe, Lee, if you want to add some color on the lending -- the deposit gathering opportunity on the mortgage side.
Lee Smith: Yeah. I think to Tom's point, and he's mentioned mortgage as a service for 18 months now. I mean we have, today, about $4.2 billion of escrow deposits from our servicing and sub-servicing book. And NYCB has at least a couple of billion of escrow deposits. And so we can bring more of those deposits in from the people that we're sub-servicing for, not just the deposits attached to the loans that we're servicing or sub-servicing but other escrow deposits that they have with other institutions. And then to Tom's point, given the technology, the New York Community Bank has that we haven't had at Flagstar, there's an opportunity to go and raise core deposits from our TPO base. And remember, we're dealing with about 3,000 TPOs, correspondents, brokers. By having this technology that allows them to do their business banking with New York Community Bank and I think that's a big opportunity, and we can also take that technology to our warehouse customers as well, which we haven't done previously. So I think we can go and bring more escrow deposits in, as well as core deposits as a result of the enhanced technology.
Thomas Cangemi: Yeah. And like I indicated, we are a major credit provider for some of these clients. And when you get to the point where we are their primary credit facility, we should have a shot at of all of the deposit opportunities that they typically utilize in the marketplace. Not a guarantee, but clearly, the more money you have on the table, the more opportunity you have to really drive the relationship opportunity. In addition to that, thinking about the C&I opportunity, we have a long history here of not being in the market with boots on the ground on a stand-alone basis, legacy NYCB. Flagstar has made that transition. The goal here on a combined basis is to have boots on the ground focused on C&I, mid-market type companies. And given that we've been in this business since 1840 -- the mid-1800s, we have a shot at really catapulting deposit growth initiative when it comes to boots on the ground on C&I side. So, all our C&I activity that's being done at Flagstar is being integrated into NYCB we have, like I indicated in our opening commentary, a lot of verticals here that's going to be deposit driven. As we start focusing on the lending facilities, we're going to focus on deposit growth. And deposit growth is going to be core value to our DNA to improve the balance sheet metrics of this company.
Dave Rochester: Sounds good. Maybe one last quick one. Just back on your comment that you're upgrading systems, what are some of the bigger systems that you're going to be upgrading?
Thomas Cangemi: I would just -- we're going into a complex platform with Fiserv. We have a DNA platform architect. We'll have a hybrid version of something very unique, best opportunity as our core. But interesting to that, we also have a relationship with -- they have a relationship with Salesforce on a business development opportunity. That could be very powerful the company. I think that's very unique that we haven't had here at NYC that we can utilize throughout the entire organization. For example, even the front-end system on loan process, their front end is very advanced, more in line with the regional bank model. They use Encino, we don't have Encino. So, there's opportunities here that are significantly ramping up ourselves to a regional player when it comes to technology utilization. At the same time, we've also given Flagstar, on the commercial services side, an opportunity to really upstart the treasury function, the treasury capability. Our current relationship that we have with Fiserv commercial services, which is -- it's been very successful for us. We've been really growing our core deposit base for our customers what the commercial services technology platform, where five years ago that was not an offering. And that has changed our ability to solidify the relationship lending on the deposit side. So, that's going to be, I think, a big win for the folks over Flagstar, to utilize that technology. So, collectively, there's a lot of moving parts here. But we, like I said, moving away from a traditional thrift model to more of a commercial regional model when it comes to the tech stack. And there's probably 10 other items that I can't disclose. I did throw a couple of names out there. But there's a lot of moving parts here, Dave, that's going to really enhance the experience of the customer regarding the new Flagstar.
Dave Rochester: Yes, sounds good. Thanks guys. Appreciate it.
Thomas Cangemi: Sure.
Operator: Thank you. Our next questions come from the line of Brody Preston with UBS. Please proceed with your questions.
Brody Preston: Hey, good morning everyone.
Thomas Cangemi: Good morning.
Brody Preston: Hey Tom, I just wanted to follow up on the expense commentary. I'm sorry if I missed it, but did you -- could you tell us what the cost savings are from the mortgage restructure and the timing of when those kind of work in to 2023? And then separately, kind of what's a good run rate for operating expenses for the first quarter of the year?
Thomas Cangemi: So, obviously, the first quarter is going to be the highest quarter because it's always the highest quarter of the year with payroll taxes and the like. But we embarked upon the mortgage repositioning and restructuring of that line, that channel, in late January. So, you'll see that benefit going through towards the back end of Q1. The number is significant, as I indicated in our opening commentary, we're taking a ton from around 800 FTEs, where before at the high, in 2021, that was 2,100. So it's a significant downsizing when it comes to a line of business. That being said, there is a benefit there on cost reduction. At the same time, we took into account the revenue offset of that as well, right? So, because you're taking out an unused balance sheet opportunity, so you have to look at the revenue side. And we also went into, I'll call it, shared services tied to embedded mortgages. So, all-in, that number is well of a $100 million stand-alone. But at the same time, we also have our own cost structure that we have to focus on, on a combined basis on just the synergies of the company's combining. And that number is, as indicated back in -- when we announced the deal, is about $125 million. Lee Smith has done a phenomenal job over the past 1.5 years managing a very tough business. He's always managed the business well. But 2022 was a challenging year, so they've been cutting and cutting and cutting at the end of the day, we looked at the business at the fourth quarter and we wanted to make sure that this business is not losing any money. So we think that at this stage of the game, where we focus on mortgage, we're at a position where we have optionality to make a lot of money in the mortgage market change, but we're not going to be losing money in the current environment. That's important as we set the stage with the run rate. And think about the concept I was explaining on the call is that we want to be in a position where our multiple is not tied solely to mortgage and our multiples tied to a balanced revenue stream. Having this unique structure on mortgage, traditionally consistent with a lot of the regional banks of our size, and having an embedded nature in mortgage, we have a great opportunity to look at the multiple as more of a commercial bank like multiple as we transition to a true commercial bank from a thrift model on the funding side. So clearly, we want to focus on multiple expansion. We think this is one of the pieces of the puzzle we get there, and we acted promptly right after the closing, given the conditions in the marketplace. So when it comes to cost structure, like a guidance at $1.3 billion to $1.4 billion, we hope to be on the low end of that guide. But clearly, we think it's a number that's achievable for us and that the cost structure starts to see discernible adjustments starting in February. But there's a lot of moving parts here because you have to look at both mortgage revenue and mortgage expense. Maybe, Lee, if you want to add some commentary on the mortgage -- of this journey, and this is your hard work and effort, which we want to commend for the effort as well.
Lee Smith: Yeah. Thanks, Tom. I mean it's a significant restructuring. There is going to be noise in the first quarter, because we're still running off the pipeline as it relates to the branches that we're closing down. We're paying severance. And then there's going to be some payments as we exit certain leases. We will isolate that as a restructuring charge. But there's going to be noise in the first quarter as a result of that from a cost point of view. When I think it will be very clean will be April 1. But having said that, and as Tom alluded to, we're going to start seeing benefits from what we've done as soon as February, given we executed on this restructuring last Thursday.
Brody Preston: Got it. Okay. And Tom, maybe just one follow-up on the expenses. Just given the conversion isn't happening until the first quarter, I guess, what percent of the $125 million should we think about being more 2024 oriented versus 2023?
Thomas Cangemi: Brody, I'd say half. But again, we've done a lot of transactions in our lifetime. We are going to -- we have hit the ground running hard. We know what we have to do as far as integration. This is typical when we look at transactions. And there's an opportunity here on a stand-alone basis. Like I indicated, we looked at the business ex-mortgage when we announced the deal. We looked at a run rate that was probably like $1.6 billion to almost $1.7 billion in total cost structure, and we tacked on about $125 million ex-mortgage. But mortgages changed, as I indicated, Lee has taken out a lot of cost in 2022. We think this is it. This is where we feel very confident that we're lean. I think this is probably the lowest headcount that Flagstar has had and probably close to -- probably maybe eight, nine years now. So I think we're in a very good position to really capitalize. A lot of investment in technology has been made by Flag, so on the mortgage side we can benefit here. The servicing platform is substantial. There's a great opportunity to think about cross-selling some product on the servicing side, both on a HELOC loan position as well as deposit gathering efforts. So we're in a good spot. It's a difficult decision when you have to make these types of significant restructuring efforts. But at this stage of the game at that type of FTE, with this magnitude of the business and our presence, we have an opportunity here to really drive revenue at the appropriate time if there's a resurgence in opportunity in the mortgage business.
Brody Preston: Got it. And then maybe just switching over to the...
Thomas Cangemi: Just one other point. The goal here was not to bleed. You don't want to hemorrhage red as we come together. And Lee was challenged last year, every quarter was a challenge when it comes to the changing interest rate environment. And we're going through quarterly repositioning on FTEs to a point where we looked at the business versus balance sheet, versus not balance sheet utilization. We really want to go back to the traditional mortgage banking model, where you had used balance sheet very selectively, and we are getting our gain-on-sale opportunity and we build the servicing portfolio as a revenue stream. So we have a barbell strategy overtime depending on market interest rates.
Brody Preston: Got it. And then maybe if I could just switch to the deposit base real quick. You mentioned the forward curve a couple of times on the call today, Tom. So I wanted to ask, near-term kind of where do you see your cost of interest-bearing deposits or your deposit beta going as the Fed kind of continues to hike early in the year and then pauses? And then secondarily, just given the back end of the forward curve is starting to head down, how are you thinking about structuring your deposits from a maturity perspective?
Thomas Cangemi: I'll defer that question to John Pinto, our CFO, John?
John Pinto: So yes, if we look at deposit betas, the balance sheet is really broken out into two different types, right? If you're looking at our – our deposits tied to either mortgage as a service, banking as a service and some of the brokered business, that's high beta. It's remained high beta since the beginning of the – of the rate hike cycle. And then if you look at the more retail, the more stable piece from both legacy NYCB and legacy Flagstar, they have been much, much lower betas, of course, than that. They started to tick up. I think like just about everyone have seen, other banks have seen over the last couple of quarters. So we'll monitor that as well. But when you look at where the curve is, it gets I think what Tom was talking about a little bit earlier, we do have a lot of flexibility in the borrowing base as well. So we'll be able to look at both where our deposits are funded and how they're funded, as well as borrowings to ensure we're ready for either of those positionings, right, either liability sensitive, slightly liability sensitive. Or if we needed to move, we could move that to asset sensitivity without too much difficulty with some shrinkage on the asset side. So I think we have the opportunity to do both there. And I think our deposit base, like I mentioned, is kind of split between what's in normal retail and what we have in the banking as a service business.
Thomas Cangemi: This is Tom, just to follow up on that. I made a very clear commentary probably about 1.5 years ago, that if you go from zero to a much higher rate environment, now we'll just reiterate the zero to, let's say, 5% I don't think you're hiding from people getting paid on excess liquidity. So that's the marketplace. So this is a phenomena in the financial services business right now. That money is very expensive right now and people want to get paid. The reality is that this company we have now is not going to be 20%, 30% liability sensitive, we're going to be closer to neutral. I think that's the game changer for us as we look at this combined business of Flagstar and NYCB, that we're going to position ourselves to not be vulnerable to rates going up. We want to take advantage of rates up and down as a business model. And that's the unique to some of the verticals, the type of assets we're going to have at a floating rate and having a better funding mix. So I think that's really the benefit of the merger that we're super excited about today. And I think, like I said, we put we put the banks together and we're around 4%, 5% liability sensitive without any repositioning or any assets. And we think that we have a lot of liquidity if we want to tap liquidity at the appropriate time, assuming market conditions warrant that. So I think having optionality is good here. And I think that the new Flagstar is a much bigger balance sheet with a lot of great clients that we can service are calling them the five-star clients that we're going to go after and bank them and go after the funding opportunity. But our DNA is going to focus on getting great deposits to fund this institution very differently than the traditional thrift model.
Brody Preston: Got it. Thank you very much everyone.
Operator: Thank you. Our next questions come from the line of Manan Gosalia with Morgan Stanley. Please proceed with your question.
Thomas Cangemi: Good morning.
Manan Gosalia: Hi. Good morning. You noted the $3 billion contribution from banking as a service product for government entities. Can you talk a little bit more about the growth opportunity there, especially given that those are lower-cost deposits?
Thomas Cangemi: So we've done a really solid job on partnering with our fintech providers, and this has been a very good line of business for the bank as an alternative solution for funding the balance sheet. This particular program in the fourth quarter was driven off the California inflation stimulus benefit that was out there. We were a bank partner, been the provider along with a very large tech company that partnered into the money network card business. That will dissipate, but that was another program that we rolled up. Bear in mind, we've also made mention that we are the US Treasury been provider for money network cause going forward and anything that the treasury does on the card side. So we have the opportunity to continue to build the business. As well as other municipals at the state level for a lot of the unemployment funds that we process under the money network cards business. So that business is going really well. We have a bunch of onboarding happening in 2023. I will tell you that it's hard to predict what quarter they come in. So we don't really count them because they come in, and they're fairly large. And what's interesting about this model is that not only do we ramp up the opportunity to work with our technology providers, but we're also able to get our bankers into the municipal side of things, so the actual core deposit banking. So some of these relations resulted in a pure deposit relationship, either payroll for a state, doing some operating activity for the state, and it's been meaningful in respect to the deposit opportunity. This is something that we go up and give the top institutions in the country and all the top technology companies, and it's an RFP process. And we've been very successful over the past 1.5 years, but it does take time to onboard. So I don't want to give any, we'll call it aggressive vision of how much can come on. But when they do come on, it becomes meaningful. So, for example, California was about $3 billion average balance and the cost of that was zero. We have some other programs that are coming in this year, depending on how quickly they ramp up US Treasury, that could be depending on what program is actually endorsed by the government, and we would be then the company that's ready to go if the issue cause [ph] at their will when they're ready to make a decision on funding. So it's an interesting program. It's a good line of business. It's one of our three pillars of the banking as a service business that we carved out along with mortgage and tech, and it's been very successful. It started out back during the pandemic and we were a very large balance sheet provider for stimulus payments and we were able to hold some nice balances for a considerable period of time on the cards side, and we continue to leverage off of that.
Manan Gosalia: Got it. And can you just remind us of the seasonality within the banking as a service portfolio?
Thomas Cangemi: I think, I mean, there's obviously the three components. The one that's very seasonal is obviously escrow payments. When you have mortgages coming in and out, you have tax payments. But we think that's going to be something that we could really drive further deposit opportunity. Like I indicated in my previous commentary, on the Lee Smith's business, there's tremendous opportunity to really be focused on managing the P&I payments and the tax payments for our large customers that we do business with, both on the warehouse side as well as on the servicing side. And that number can -- it goes up and down depending when the payments go back to the municipalities on the tax side, but there's always the P&I payments coming through. And we have a long history under AmTrust Mortgage to manage that. So, I think we have a few billion dollars of pre-consolidation with Flagstar. As we indicated, I think it was at $4 billion. So we're probably around $6 billion now. But I see a $10 billion opportunity there, just by the current client base as we go after it. It's very volatile with respect to interest rates. There's a cost to that. But as things start to normalize on the interest rate side, we have an opportunity to have a different funding mechanism versus traditional -- non-traditional wholesale funding that the bank has been accustomed to. So another source of opportunity. And the ones that we have credit with, I really feel the clients will be a credit with, I feel that we could do a better job on banking that client. And that's what we're going to go after. As we indicated, the true operating activity, that we could be helpful, given our size and balance sheet and our technology offerings as well.
Manan Gosalia: Great. Thank you.
Operator: Thank you. Our next questions come from the line of Steven Alexopoulos with JPMorgan. Please proceed with your questions.
Steven Alexopoulos: Hey, Good morning, everyone.
Thomas Cangemi: Steven, how are you?
Steven Alexopoulos: Good. How are you, Tom? I wanted to start on NIM. So I appreciate the 1Q 2023 guidance. But, Tom, what does that mean in the release? Here you say you expect 2023 margin above where you ended the year, I would think that would be on a spot basis, maybe consistent with 1Q 2023 guidance. Can you talk through that?
Thomas Cangemi: I'll give a broad discussion up front and John will go into the details. But we're kind of indicating that we have one month of Flagstar at the fourth quarter going into our current NIM on a historical look-back basis for Q4, and we've been in the low 2.20. Was it 2.28, John.
John Pinto: 2.28.
Thomas Cangemi: So if you think about our guide for Q1 at 2.55 to 2.65, we have the benefit of a lot more floating rate assets, different verticals that are priced to footing rating indices. At the same time, we have a significant amount of customers that are rolling into their option period. So, for example, in Q4, we had about $0.5 billion of multifamily loans that went to sell for plus 2.25, 2.50…
John Pinto: 2.50.
Thomas Cangemi: Coming off a 3% coupon, so that's adding to the benefit of repricing. When you think about the choices going forward -- absent the funding side, on the asset side, we really do have a unique opportunity to have a lot more assets repricing into the marketplace, as well as a much more, we call, higher-yielding offering when it comes to the floating rate instrument, and more of a focus to allow our customers to utilize derivatives to finance their long term as an alternative solution and traditional fixed rate terms. So we've been proactive on running out the capital markets activity that Flagstar offers to their customers to some of our larger multi-family players that are doing larger transactions we want to synthetically structure for the balance sheet. So we really do have an interesting series of choices on the verticals to really drive capital into businesses that are high-yielding businesses. That being said, the funding is where you have still pressure. Obviously, I indicated about a 4%, 5% liability sensitivity as we close the books at year-end, but that's going to have a couple more rate hikes. And obviously, the forward curve has a pause for a while, so we're going to deal with that. But ultimately, we think we can move that 5% to neutrality very quickly depending on where we want to position some of these assets. So, I think, we’re going to have higher margins going back to my point. We're starting in the low 2s and we're already in the mid-2s in the start of the year. So it's a different margin business given that we have new asset classes going into 2023. And with the focus of really building out more C&I business as a hallmark for the company, in addition to our legacy businesses, which we're going to support, we'll have a lot more choices, Steven, which will drive margin.
Steven Alexopoulos: Yes. Do you think you can hold in -- because the next quarter is going to be the first quarter where we have the new company, right, for the full quarter? Do you think you can hold NIM in this 1Q range beyond the first quarter through the rest of the year?
Thomas Cangemi: You're not going to get me to a point to give forward guidance on the margin, but it's a good try. We typically give Q1 -- we give a three-month outlook on margin. I think the unique opportunity here is that we have a different balance sheet, we have a different positioning, we have unique asset classes. We're still challenged, as all banks are challenged, on the funding side. If we could be successful in moving some of these wholesale liabilities into true core deposits, then it's a game changer for our multiple. That's the strategy. That's not going to be an overnight strategy, but we've done a lot of work over the past two and a half years. But we're starting the year very strong with a solid margin compared to standalone NYCB with the benefits of a much higher average margin for the year, knowing that we're going to have probably an increase tomorrow and another increase in March, which will hit all banks in respect to excess liquidity, including NYCB. And we love to contend with our liability funding on the wholesale side that's repricing, and then it'll stabilize.
Steven Alexopoulos: If I could follow-up--?
Thomas Cangemi: John, maybe you want to add any color?
John Pinto: The only other item and we mentioned it earlier on the government as a service deposits, right? We had that program really kick off at the end of 2022. And then we see -- now we start to see really the utilization of those funds that we're seeing that start to roll down as we would have expected in the first quarter, and that is non-interest-bearing accounts. So, that's just another item for -- that we'll see that's beneficial in the first quarter that we lose a lot of that benefit when we go forward.
Thomas Cangemi: Yes, I would add, internally, when we look at the business even on the multifamily side, going back to 2012, 2013, we had a high fee income opportunity and the actual yield on that asset class is much higher because of the propensity of prepayment. We ended the year this year at the lowest level of prepayment activity compared to the financial crisis. Literally, if you go back, it was significantly lower than we had anticipated. And we had a very strong year. We had another record year in earnings, but you get -- the multiple is what it is. We were liability sensitive. But if you think about where we ended up about $45 million in total prepayment activity, if you go back to 2013, that number was $140 million. So, we're off by over $100 million and the portfolio is probably substantially larger than it is today than it was back in 2013. So, there's tremendous opportunity to really get that coupon from a 3% coupon to the market and be very cognizant of the fee embedded in that structure to drive margin. But we have a very conservative estimate in our forecast internally, even though we don't go out the full year, of how this asset crafts will react. Because the asset class is very stable right now. There is no activity on prepay. There's no large purchase transaction activity. We think that will change once rates start to become more expected based on the borrowing base. Right now, customers are not doing a whole lot. So, we're kind of having a larger balance sheet with lower yields. And as they reprice, we're getting a nice benefit on that particular core asset class.
Steven Alexopoulos: Got it. Tom, if I could also ask, so if I look at the guidance, the average loan growth of around 5% for full year 2023, which doesn't make sense because you have Flagstar for the full year 2023. What's the base that you're comparing that to?
Thomas Cangemi: Look, we're very conservative right now. It's early in the year. Last year, we had 10% net loan growth on multifamily. A lot of that was driven because market conditions have changed. Like I indicated, we're not going to have the activity until customers are comfortable on pulling down equity and buying and selling asset classes. That's not happening in the marketplace today. So you're going to have a larger asset class for loan growth. But I think we have a conservative model that we're going to be very focused on making sure we get the best economics given the market condition. And Steven, as you know, it's expensive right now to finance short-term. So when you look at, let's say, a three-year average life financing against a multifamily credit to average life, we need to get paid economically. That number is around 6% in the market, 225 off the five-year treasury. And that's where we're holding our line. I think that's the right economics for us as we look at the lines of businesses. So when you think about 5% net loan growth, I think that's reasonable. We always come out with a conservative estimate. If it changes, it changes, but it's early on. And given that most customers are really kind of sitting on the side and trying to figure out what their funding needs are going to be in a very unique changing interest rate environment, I think it's reasonable. Warehouse could change dramatically, dramatically if these rates go down. If for some reason we're in a different rate environment. So at the back end of this year, we have $11.5 billion warehouse book that has about $3 billion outstanding, that number could double very quickly. So we have an opportunity at very high spreads along with some of the other lines of businesses. So we really are being conservative, and we want to be conservative. So 10% was a big year for us on a standalone basis. And if you take Flagstar's held for investment portfolio out of the resi side, they were relatively flat or down slightly for the year given the challenge in the mortgage business.
Steven Alexopoulos: Got it. Okay. So just to clarify, you're assuming 5% over full year 2022 average loan?
Thomas Cangemi: It's an early guide.
Steven Alexopoulos: Okay. Thanks for taking my questions.
Thomas Cangemi: Sure, sure.
Operator: Thank you. Our next question is coming from the line of Chris McGratty with KBW. Please proceed with your questions.
Chris McGratty: Hey, good morning. Hey, good morning, everybody. John, just to make sure I'm clear on the expenses. The midpoint of your guide is pretty good to consensus, call it, $50 million or $60 million. The amortization expense, need a little help there. It looks like it was $5 million, which would annualize to about $60 million. Is that about the right amortization expense for the year?
John Pinto: Yes, it is. When you look at this change in the interest rate environment, not only did it have impacts on the purchase accounting adjustments for loans and securities but also for CDI. I think originally, we expected CDI to be at a much lower number when we announced the deal, but it's definitely changed given this interest rate environment. So yes, when you look at that -- all intangible amortizations that $5 million, that $5 million a month is a good run rate for 2023.
Thomas Cangemi: Yes. On the $1.3 billion to $1.4 billion, that excludes amortization of CDI. That's exclusive of amortization.
Chris McGratty: No -- yes, that makes sense. It looks like they offset each other. In terms of the accretion, John, any -- what's the accretable yield that might be considered in the guide, or how should we think about accretion income as a margin contributor?
John Pinto: Yes. So the way to think about it is we have benefits coming in from accretion from the loan and the security side, and that's partially offset from CDs, sub-debt and the trust preferreds. So you're looking probably on average in the $10 million range, I would say, from an accretion perspective per month. That we'll probably see. The hard part about getting exact guidance on that is when you look at the Flagstar loan portfolio, especially and even some of the securities portfolios, the floating rate pieces are marked pretty close to par, if not really at par from an interest rate risk perspective. Some of the more fixed rate items has much deeper discounts. So it really depends on the speeds that start to come in on those. So we're trying to be conservative as to the speed in which those discounts will come back to us. But you could see some swings in that as payoffs come because you've got to recapture some of those pretty big discounts as you go forward.
Thomas Cangemi: Yeah. Again, just to put my accounting hat on, offsetting that in 2024, assuming most of the CDs are short-term, and that discount -- that band premium will be gone and you have the possibility of higher accretion in the funnel.
John Pinto: Yeah, the CD mark is -- yeah, it's definitely a little bit shorter than the security in the loan mark, yes.
Chris McGratty: $10 million a month will flow through the margin and that's included in the guidance, correct?
John Pinto: That's right.
Chris McGratty: Okay. And then I just want to come back to Steve's question, just to make sure I'm totally buttoned up. The held-for-sale loans were about $1 billion. I guess question one, is that about plus or minus where we should think about held-for-sale? And the guide for mid-single digit, I'm looking at your average balance sheet, that's a -- is that off a $56 billion base? Is that what you're using?
John Pinto: The mid-single -- for the loan growth?
Chris McGratty: Yeah.
Thomas Cangemi: That's correct.
John Pinto: No -- yeah, it's based off of the spot loan balance at 12/31. So 69 -- so we're doing a 12/31, the 5% 12/31 2023 to get back to the previous question as compared to the, call it, 12/31 2022 spot-to-spot.
Thomas Cangemi: As far as the loans held-for-sale, so maybe Lee Smith can have some color on the business, on the business, since we got Lee on the call. Lee?
Lee Smith: Yeah. No, I think that $1 billion that you mentioned, you can expect us to be in that zip code $1 billion, $1.5 billion throughout 2023. Obviously, we're in one of the toughest mortgage markets for the last 25 years and so when we look at where activities now. I think that $1 billion to $1.5 billion is a good estimate for the remainder of 2023 for available for sale.
Chris McGratty: Okay, great. Thank you.
Operator: Thank you. Our next questions come from the line of Peter Winter with D.A. Davidson. Please proceed with your questions.
Thomas Cangemi: Good morning, Peter.
Peter Winter: Thanks. Good morning, Tom. Can you just give an update on the capital priorities going forward and maybe some thoughts on share buybacks?
Thomas Cangemi: I'll start out with the first priority. Our dividend will continue at the current rate. That's been a priority historically, and we're very confident there. Obviously, we had a substantial -- an accounting event at year-end. Markets have changed, and we had to deal with that in respect to capital. So we traded some of the book value benefit to the earnings accretion going forward under the capital side, so that did have an impact. That being said, I'll defer to John specifically on how we're going to get that back. And obviously, where our capital stack currently sits. But going back to my priority is we're going to continue to paying the current dividend rate for the combined shareholder base.
John Pinto: And historically, the company has had a multifaceted capital plan when it's -- from payback to shareholders with dividends and years ago, stock repurchases, of course. So first, the use of capital, as Tom said, is the dividend and the second is for growth. So any excess capital that we have after those two things, we would absolutely look at down the road a potential buyback as market conditions dictate.
Peter Winter: Okay. Thanks. And then just real quick, just on the $3.4 billion OpEx exposure, just can you give a little bit more color on an update from a credit perspective on office?
John Pinto: Yeah. Well, both on office and really throughout the CRE and portfolio has been unbelievably strong from a credit perspective. We've seen no transition into the 30 to 89-day buckets or delinquency buckets, really, no real concerns even that have come out of the deferred loan process that we went through. Payments have been as we would have expected. So we've really started to see a little bit of occupancy kick up there as well. So the performance in that portfolio has been better than we originally expected coming out of the pandemic.
Thomas Cangemi: I would just add to John's comments, a strong sponsorship, a very low LTV, very comfortable with the relationship, long-term relationship, lending tied to some of the multifamily investment as well. So there's a lot of history there on the NYCB stand-alone. We picked up some commercial real estate from the Flagstar folks as well on office, a lot of material amount is maybe about $1 billion, John, total -- is it total, little less than $1 billion.
John Pinto: So, yes, total office is $3.4 billion.
Thomas Cangemi: $3.4 billion. And again, it goes back to the history, as John indicated, we're not seeing any negative trends and the LTV is relatively low. And in the event that we have to sit down and deal with a situation that has maybe some of credit deterioration. We think we're well protected as a sponsorship, as well as overall value. I haven't seen any negative trends speeds. It's been very, very solid.
Peter Winter: And when those loans come up for refinance, can you just maybe updated LTVs or debt service coverage ratios when they come up for refinance?
Thomas Cangemi: We’ll tell you. I think we had -- we have about $1.23 billion that's coming up in total CRE. That's not off -- 
John Pinto: It’s not just off of -- 
Thomas Cangemi: And that kind of at the 560 coupon, that coupon is probably closer to 7% and change now. And then next year in 2024 is about another $1 billion. So we don't have a ton of money. Let’s say, it's 50% of the CRE book over the next two years coming due. And next year, I think it's a 5% coupon. So, again, we think we have an up rate potential on repricing them. But when you look at the average LTV, I'm not sure if you have that on you, John. It's a pretty low average LTV.
John Pinto: 56%
Thomas Cangemi: Yes. 56% average LTV.
John Pinto: On office.
Thomas Cangemi: On office. And I think we feel pretty confident that, again, we haven't seen at all any deterioration. As John indicated, a 30-day bucket, the 50 [ph] buckets are all zero.
John Pinto: Zero.
Thomas Cangemi: I feel pretty good about that and given the current environment. But in the event -- even during the pandemic, we had a handful of customers that we're thinking about maybe having issues, and we gave them some balance sheet, we gave them some release and ultimately, we got them to the other side. And in the event there was any maneuverability on our end, we're very comfortable on exiting the asset class, and there's plenty of investors, we look at these assets as, we'll call them unique New York City assets that will be well owned, but would love to be owned by investors that are comfortable on taking the keys from the bank, if necessary. We haven't had to have that problem, right, so far. But in the event we do, we have low leverage, and we have strong sponsorship. So, hopefully, the sponsors stay strong. And if they have to kick in some more equity if they keep them going, that's the expectation.
Peter Winter: And they've been willing to click in the equity, if needed.
Thomas Cangemi: We haven't had had this conversation yet, but we're very focused on conservative underwriting, and that's how we look at our book. These are -- we don't have a huge portfolio relevant to the total balance sheet. But what loans we do have, they’re relationship sponsorship type transactions that we're very comfortable that historically in the past, we have seen customers by checks. We've had a couple of handful over the past six to nine months, and these are very large families that are comfortable on keeping their coveted asset classes in their families business.
Peter Winter: Got it. Thanks, Tom. Congratulations on closing this deal.
Thomas Cangemi: Thank you, Peter. It's been a journey, but we're looking to the future, we're super excited.
Operator: Thank you. Our next questions come from the line of Matthew Breese with Stephens. Please proceed with your questions.
Thomas Cangemi: Good morning Matt.
Matthew Breese: Good morning. Just to clarify, the $10 million a month of accretable yields -- is that just for the first quarter of -- I'm assuming the fourth quarter of this year, the first quarter of 2023. And if it's not, could you give us some sense for the cadence of accretable yield in 2023? Usually, it's pretty front-end loaded. I just want to get a sense for the cadence there?
John Pinto: Yes, I mean it can be front-end loaded, no doubt, but that's the average. That's what I would assume for 2023. You will have, like I said, when you have some deep discounts and you do have some payoffs, you can't have some spikes here and there. But no, I don't expect it to be dramatically different than that in 2023. CD runoff will start in really in 2024, which will benefit.
Matthew Breese: Okay. And then just on the core NIM components, can you give us the year-end spot rate on interest-bearing deposits? And then what are incremental multifamily and commercial real estate yields coming on at today?
Thomas Cangemi: I'll go to the yield. So, Matt, we're looking at, like I indicated, we're pushing towards 225-ish at the five-year, we're trying to have around 6% on a traditional five-year deal. Commercial is probably another 50 bps above that. We're not really doing a long-term financing. And if we do long-term financing, we're really pushing our capital markets group to sit down with the customer and structure something synthetically, which does change the economics for the bank as well as for the customer. So, we're giving them more choices I indicated a lot of our customers that aren't doing a whole lot. They have an option and the option was a very expensive option. We gave them a third option, which is a SOFR option, which is 250 off of SOFR and SOFR has been rising. So, it's not as attractive as it was six months ago, but it's an alternative, and we're seeing probably half of our customers on the multifamily side opt into that choice, which we like that prefer for interest rate risk balance sheet management perspective, but a much higher coupon. I think I indicated that the commercial side, what's repricing. But in 2023, we have about another $2.5 billion, around $388 million on the multi-side, and if you take in over the next two years, it's about -- but just about $6 billion on multibit $375 coupon and market yields are around 6%, assuming they all go into a five-year structure, not doing a whole lot of seven-year tenure, reluctant to do that as we look at the marketplace and in general, I think people are sitting on the sidelines right now. So, we're getting the benefit of repricing just from the optionality of them making a choice and in very rare circumstances, you've seen in property transactions. So, we're probably -- we could have a higher balance for longer because there's less activity. As indicated in my previous comments, there's very little economic in our internal forecast for prepayment activity. I think we had probably one of our worst years last year. We still had a strong -- it was a record year on earnings. We had $46 million of prepaid going back to the high of about $140 million in previous years going back to 2013. So, we have the opportunity here for a great economic if the marketplace changes. But we're assuming that it's going to be relatively benign. So, we -- even on our first quarter guide, we said the prepayments are not going to be impactful in any meaningful way going forward in this current rate environment.
Matthew Breese: Great. I appreciate that. And then on the spot rate on interest-bearing deposits at year-end quarter end?
John Pinto: Yes. At year-end, the spot rate on interest-bearing deposits is $217 million.
Thomas Cangemi: Matt, just one point. So, I want to talk about some of the other lines of business. I mean we have a great builder finance business. That number is close to 400 spread off of repricing for SOFR indices. We have fees involved in those types of businesses. We have the warehouse business, that's a substantial spread in the 200-basis point spread. We look at that as a great opportunity because we know that business very well. We're very comfortable with that business, clearly, a very attractive yielding business. And we have other C&I businesses that are part of the legacy Flagstar coming over that we think we're going to grow very, very nicely on a combined basis. Those spreads are very high. They're not near what we are typically accustomed to their floating rate, they have fees, they have structure behind them, and they have very good incremental benefits to the margin, which is going to be a capital deployment opportunity in 2023 and beyond. That is the game change that we're putting together here. So we're not just at one bank that does one thing. So we have many, many verticals with different opportunities, and we're going to be very cautious given the rate environment to deploy capital to ensure we have the best capital allocation story to talk about as we build a new Flagstar.
Matthew Breese: No. Understood, Tom. I appreciate all that. I did want to also touch on the government as-a-service deposits, just considered it comes in in lumps, and then it sounds like as it's spent, it winds down. Could you give us a sense for the pace of attrition on the government as-a-service deposits? And is it -- is it expected to roll off to a near zero towards the end of the year, or is this something that holds a residual balancing can grow off of that residual year-over-year?
Thomas Cangemi: So I'm going to start. I'm going to refer to John. We've done a lot of work around on expectation and modeling and doing regression analysis on how this would be active in and we actually have an experience with the stimulus payments and how well they held on the balance sheet, more than we expect that we conservatively model it, which is in our model. So we had a large benefit in the fourth quarter that came from the California stimulus opportunity that we would have been provided for. It's holding better than expected. Probably it will be there for longer than expected, but we model it conservatively. Ultimately, that will go down to a tail to a point and John can get into some details on the tail. At the same time, we have other ones ramping up in 2023, although not the same type of program, there will be consistent with unemployment programs that matters we have a large relationship with Jersey and others. We just picked up a big win recently with California, which will be a substantial benefit for the bank once it gets geared up. But again, it's the timing of it, Matt. If it happened in Q2, Q3. It really is as quick as government gets it up and running and we're ready to react. It's been a good business for us, and there's some fees involved. But more importantly, the average cost of those liabilities are very low, New net to zero in most cases. And John, if you want to talk about some of the trends.
John Pinto: Yes, we've tried to model it. It's been pretty close to the modeling we saw with the economic impact stimulus payments. So there is a tail that will sit around, but the bulk of the deposits to go pretty quickly. and then you have like a slow draw after that. So yes, we will have deposits as of -- I would assume at the end of the year, I don't think it's going to be that material of a number by then. But the first quarter will still have a really nice average balance then it will start to come down from there.
Matthew Breese: Okay. Understood. And then what are the remaining one-time costs from the deal and the mortgage restructuring? And then could you give us a sense for timing throughout the year when they'll be taken?
Thomas Cangemi: Well, let Lee talk about the mortgage restructure and John will get into some guesstimatess on what we think we're going to -- we have left. Lee?
Lee Smith: Yes, sure. So the cost with the restructuring that we've just actioned, we estimate to be $12 million to $13 million. And that is predominantly severance. But as I mentioned earlier, there are some leases that we need to get out of. So there's some costs associated with that. There's a couple of contracts that we are also going to exit. We're going to isolate that as a restructuring charge, and that we will take that in the first quarter. In addition, we probably need 60 days. That's what we're estimating to work off the pipeline, those loans are a lot that are not yet closed of those offices that we've closed down. So that will take us through the end of March. And that's why earlier I mentioned that even though you're going to start seeing cost savings starting in February, there is noise as a result of the onetime restructuring charge, the runoff of the pipeline and I expect us to have a real clean run rate beginning April 1.
Thomas Cangemi: And then on the merger-related charges, we'll see some in the next couple of quarters when it comes to primarily severance and just some consulting work to get through the consolidation of the two companies. So you'll see that as well in the coming quarters. And then there'll be some charges when we get to Q1 of 2024 when we get to the conversion date.
Matthew Breese: Got it. Okay. Last one for me is just overall capital levels, tangible common equity at 6.4%. Your total risk-based capital ratio is sub-12%. Should we be contemplating any common equity raise or sub-debt raise to bolster these ratios? That's all I had. Thank you.
Thomas Cangemi: Yeah. Thanks, Matt. I think given where the capital ratios are, and just given the credit nature of the two balance sheets, two legacy bank balance sheets and the limited risk really from a charge-off and in a provisioning perspective, we're comfortable where the capital ratios are with a common equity Tier 1 ratio over 9%. That's a good spot for us to be given the loss content in those portfolios. So it's something we're going to, of course, continue to manage. And we believe the best use of the capital right now is primarily dividends, then, of course, to fund growth. And then going forward, we can look at other capital initiatives depending on market conditions.
Operator: Thank you. Our next questions come from the line of Christopher Marinac with Janney. Please proceed with your question.
Christopher Marinac: Hey Tom and John, I had a similar question as Matt on the capital. So is the $906 million likely to grow from here, or is there a scenario where it may dip a little bit as the balance sheet is considered quarter-to-quarter?
John Pinto: I think it will grow.
Thomas Cangemi: Yeah. I mean, the goal is to grow. I mean, it depends a little bit. One of the things we look at when we put both companies together is there's a large portion of the assets but even though they have really low loss content in them, including multi-family, mortgage warehouse, they're 100% risk-weighted assets. So we do have that that we have to work through from a capital perspective. But the goal is over time to ensure our capital ratios are where we want them to be in our capital target. So that's no doubt the plan.
John Pinto: And, obviously, we're planning strong earnings growth as well to increase our capital position.
Christopher Marinac: Last question…
Thomas Cangemi: Just to be clear, we've traded off capital for accretion on the adjustment given the changes in interest rates. So you're getting a lot -- as John indicated, a benefit as far as the marks on the assets and liabilities. So that does have an impact. You get that back over time. So we think you'll see some nice earnings per share growth as well.
Christopher Marinac: Got it. And then last question, John, just has to do with how the banking as a service and government as a service reprices over time. Do you have to have an absolute Fed cut before you can lower those rates thinking out just a couple of quarters from now?
John Pinto: Well, the government as a service deposits are primarily non-interest bearing or if there are, they're really specific as to exactly what those costs would be. On the banking as a service deposits to see big cuts, you probably have to -- to see big drops in those rates, you probably have to see some Fed cut, especially in this environment. But times change and sooner or later, the spreads can narrow a little bit on what you're paying for a lot of those products. But I think we have to start to see us a pivot before we start to see some significant savings there.
Christopher Marinac: Okay. And are those banking as a service sold by maybe three-quarters or two-thirds of the Fed moves? Is that about right?
Thomas Cangemi: Yes, I mean, there a range. Some are 100% beta, then some are in that 75% range. So on the banking-as-a-service side it's a range of what's tied to the change.
Christopher Marinac: Got it. Great. Thanks for taking all my questions.
Thomas Cangemi: Sure.
Operator: Thank you. Our next questions come from the line of Ebrahim Poonawala with Bank of America. Please proceed with your question.
Thomas Cangemi: Ebrahim, you’re back.
Ebrahim Poonawala: Yes, I’m back. I feel sorry. I know it's been a long call. Just one question, Tom. I think you mentioned multiple times around being becoming a commercial bank, multiple expansion for the stock. Give us a sense of what you think this combined franchise, as we look beyond systems conversion next year? Like, if you have any sense of where you think the bank is from an ROTCE, ROE perspective, what the franchise should be earning in a steady-state environment.
Thomas Cangemi: Look, I mean, this is obviously going to be a block and tackle year. We're super excited about putting these companies together, the rebranding effort that's going to take place. We are transitioning to some great technology that's going to really assist our customer base. As you move towards commercial banking, we've got to work a lot on the funding side. And the company is going to be, historically, over the past couple of years, and we're earning just under 50% TCE, we should be in the high teens. And, I think, the reality in the high teens on a traditional multiple perspective was return on assets well north of 1%, 1.10%, 1.20%-ish over time. It's going to take some work here, but the reality is that, the balance sheet has changed dramatically. If you think about the lines of businesses that we're going to have, the verticals that will be priced, very different than historical fixed-rate lender that had vulnerabilities to rising interest rates. So we want to be better balanced. At the same time, we're going to get our cost structure right. We have work to do with, going back to 2023 as a block and tackle year and we look at 2024 in hopefully a different rate environment. We'll be able to take advantage of a better funding mix. We're going to go after the deposit funding. If we move that positioning to having better funding as a core competency of our number one priority, that will change multiple. We feel very strongly that mortgage on a percentage basis, because the bank is much larger, will be less of a concentration on total income stream. So we want to have less dependency on mortgage, less dependency on the wholesale finance. And we believe that will give us a better blended multiple. Multiple expansion is going to be key, as we look at the transformation to a commercial bank. We have all the parts in place. It's going to take time to block and tackle, but we have the road map and the system conversion will be done in the first quarter of 2024. At the same time, we're going to be rolling out the verticals, proving to the marketplace that we're allocating capital to different lines of businesses that have better margin businesses. And now at the point, as a company, we're looking at loan by loan detail on a total return basis, and we'll allocate capital accordingly. And that's something very different when you have choice now. We have choice on a combined basis, where historically, we had limited choices when we had our business model. So we're excited about the business model. We think we have a great story to tell. This has been a long time and awaiting, a lot of planning. And we're super excited about launching out the new Flagstar as a new brand.
Ebrahim Poonawala: Got it. Thank you.
Sal DiMartino: Thank you. That is all the time we have for our question-and-answer session. I would now like to hand the call back over to management for any closing comments.
Thomas Cangemi: Thank you again for taking the time to join us this morning and for your interest in NYCB. We are creating a unique multifaceted financial services organization that will no longer be reliant on any one particular line of business, with a very exciting future. Thank you all.
Operator: Thank you. This does conclude today's teleconference. We do appreciate your participation. You may disconnect your lines at this time, and enjoy the rest of your day.